Operator: Thank you for standing by and welcome to Vroom’s Second Quarter 2023 Earnings Call. At this time, all participants are in a listen only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions]. I would now like to hand the call over to Jon Sandison, Vice President, Investor Relations. Please go ahead.
Jon Sandison: Thank you, operator. Good morning, everyone, and welcome to Vroom's second quarter 2023 earnings call. Joining us on the call today are Tom Shortt, Chief Executive Officer; and Bob Krakowiak, Chief Financial Officer. Please note this call will be simultaneously webcast on the Investor Relations section of the company's corporate website at ir.vroom.com. The second quarter 2023 earnings release and earnings presentation are also posted to the investor relations website. Before we begin, please note that the discussion today includes forward-looking statements within the meaning of the Federal Securities laws, including but not limited to statements about Vroom’s operations and future financial performance. These and other forward-looking statements are based on management's current assumptions and are neither promises nor guarantees and are subject to a number of risks, uncertainties and other important factors that may cause actual results to differ materially. We direct you to the company's most recent SEC filings, including the Risk Factors section of Vroom's most recent Form 10-K for the year ended December 31, 2022, as updated by our quarterly report on Form 10-Q for the three months ended June 30, 2023. For additional discussion of factors that could cause actual results to differ materially from those in the forward-looking statements. Please note further that today's discussion, including the forward-looking statements speak only as of the date of this call and Vroom assumes no obligation to update such statements based on future developments or otherwise. The company may also discuss certain non-GAAP financial measures during today's call. You can find a presentation of the most directly comparable GAAP measures and a reconciliation of those measures in the second quarter 2023 earnings release and earnings presentation. I'd like to now hand the conference over to Tom Shortt, Chief Executive Officer, Tom?
Tom Shortt: Thank you, Jon, and thank you to all the investors, analysts, Vroommates, UACC colleagues and third-party partners who are joining us today.  Let's start on Slide three. We introduced our long-term roadmap at our May 26 2022, Investor Day, where we highlighted our midterm goal of a breakeven EBITDA business and our long-term goal of a 5% to 10% adjusted EBITDA margin business. We remain committed to our long-term roadmap, and I'm pleased with the progress we've made as we work toward these goals.  As we indicated on Investor Day during 2022, we strategically slowed down the business while we improved our customer experience, improved our processes across titling and registration, pricing, marketing, reconditioning, and logistics, and insourced our sales function from our primary third-party resource. As we execute our strategy in 2023, we are resuming responsible growth, selling through aged inventory and proving variable cost per unit, continuing to reduce fixed costs and converting balance sheet items into cash. Our long-term roadmap remains unchanged. During 2023 we're continuing to focus on our three key objectives and four focused strategic initiatives. On Slide four, our second quarter highlights. During the second quarter we’ve recognized an adjusted EBITDA loss of $56.3 million, an $8.5 million or 13% sequential improvement which was within the range of our expectation. E-commerce units grew approximately 5% sequentially. This quarter is the first quarter with sequential growth since we realigned the business and introduced our long-term roadmap in the second quarter of 2022. As we pivot the business towards responsible growth, we remain focused on reducing variable and fixed costs per unit while driving the right mix of marketing investment unit growth rate and GPPU. E-commerce GPPU increased from $2,552 to $2,954 sequentially, benefiting from GPPU on aged units, which was in excess of $5,000. During the second quarter as a result of legacy title issues 80% of our units sold were held greater than 180 days, compared to 77% in the first quarter, 75% in the fourth quarter of 2022 and 49% in the third quarter of 2022. We expect sequential reduction our mix of aged units, with the third quarter mix expected to be less than 40% from aged units, and we expect the fourth quarter aged next to be sequentially better than the third quarter.  As we work through the remaining aged inventory, we expect to have normalized aged inventory levels which we expect to produce higher overall GPPU. We are making progress on our long-term roadmap and our four strategic initiatives.  We reduced our adjusted SG&A $2.2 million sequentially on higher unit volume. Excluding increased marketing investment, we reduced adjusted SG&A $5.7 million sequentially. We’ve repurchased $18 million face value of our convertible notes for $7 million, reducing our leverage at a substantial discount. We are narrowing the range and improving the midpoint of our full year 2023 guidance to an adjusted EBITDA loss of $200 million to $225 million and adjusting our cash and cash equivalents to reflect the convertible note repurchases.  On Slide five. During Investor Day, we outlined the unit economic drivers behind our four strategic initiatives that we believe are key to building a profitable business and we have been providing quarterly updates on our progress on each driver. This slide is an update to our second quarter progress by economic driver. GPPU was $2,954 a $402 sequential improvement driven primarily by strong GPPU on unaged unit.  80% of units sold in the second quarter were aged. As I mentioned, our GPPU for unaged units was in excess of $5,000. We expect sequential reduction in our mix of aged units and expect improved GPPU with the mix improvement. We expect our third quarter mix to be less than 40% from aged units, and we expect the fourth quarter aged mix to be sequentially better than the third quarter. We continue to see strong product GPPU as we develop and grow our captive financing capability. We reduced our all-in logistics costs per unit by 17% [ph] sequentially. Our improved titling and registration processes resulted in a 43% improvement in inventory turns sequentially. We reduced our selling costs per unit 26% sequentially. We reduced our titling registration and support costs per unit 29% sequentially.  We increased our marketing spend $3.5 million sequentially in order to facilitate unit growth by ramping up unit acquisitions to grow inventory in the second half of the year. Our unit acquisitions have essentially been unidle since we pivoted the business in the second quarter of 2022. Our increased marketing spend was required to restart the unit acquisition engine. We continue to source primarily from consumers.  We reduced our fixed cost per unit 12% sequentially. Lastly, our advanced analytics team, functional business teams and tech teams continue to build data assets, analytical assets and tech assets that we believe in the long-term will provide a competitive advantage across titling and registration, pricing, conversion unit and product margin and supply chain costs.  Slide six, I'm very proud of what our Vroommates and UACC colleagues have delivered over the past year, excluding securitization gain and non-recurring costs, we continue to reduce our losses despite absorbing significant GPPU pressure caused by our legacy titling and registration issues in 2022. We have improved e-commerce GPPUs the last three quarters as we sell through our aged inventory. We continue to make progress on our long term roadmap.  We are at the turn where we are beginning to resume responsible growth while we continue down the road of improving our operations and reducing our fixed and variable costs. We expect GPPU to normalize in the back half of the year when the majority of our sales are expected to be on unaged vehicles.  Now I'll turn it over to Bob to discuss second quarter results in greater detail. Bob?
Bob Krakowiak: Thanks, Tom. I'll start with a summary of our financial performance on Slide eight. All comparisons are against the prior quarter unless otherwise noted. Total revenue of $225 million increased 15% as e-commerce units increased 5%. As mentioned in the first quarter call, we are in the early stages of ramping up the business while remaining focused on positive unit economics.  E-commerce GPPU increased 16% to $2,954. As we expected and discussed during the first quarter earnings call, we realized the negative impact of selling through aged vehicles, which was approximately $11 million. This impact was offset by GPPU in excess of $5,000 on unaged units.  Adjusted EBITDA loss improved $8.5 million or 13% to $56.3 million. The improvement was driven by reduced operating costs, unit growth and higher GPPU. On the expense side, we further reduced our fixed and variable operating costs, despite higher unit volume. As we continue to pursue our three key objectives and four focus strategic initiatives.  We remain focused on maximizing our liquidity and strengthening our balance sheet. In the second quarter, we repurchased 18 million face value of our convertible notes for $7 million, further reducing our leverage. We also completed the sale of non-investment credit notes related to the 2023-1 securitization, and completed secured repo financing on securitization interests at UACC. Improving available liquidity at UACC to approximately $93 million at the end of the quarter.  As we continue to sell-through the remaining aged inventory and begin to ramp up unit acquisitions, we increased our cash inventory quarter-over-quarter, negatively impacting our cash position. We expect our cash in inventory balance to reduce and normalize in the second half of the year, as we sell-through the majority of remaining aged units, allowing us to floor a higher percentage of our inventory balance.  Let's move to Slide nine, which provides a bridge from first quarter 2023 to second quarter of 2023 adjusted EBITDA as well as cash and liquidity. E-commerce gross profit improved sequentially by approximately $2 million. Sequential unit growth, along with strong GPPU on unaged units drove this increase. In addition to our improvements in e-commerce gross profit, we continue to reduce our variable and fixed cost structure as we drive efficiencies throughout the organization. In total for the quarter, we improved adjusted EBITDA by approximately $8.5 million. Moving to liquidity, second quarter adjusted EBITDA loss and net interest expense are the primary drivers of cash utilization within the quarter. Additionally, due to certain floorplan requirements related to our acquisition ramp up, cash and inventory increased $11 million sequentially. We expect this cash to be recovered during the third quarter.  Next, we repurchased 80 million face value of our convertible notes for $7 million, reducing our leverage. We may continue to opportunistically repurchase notes from time to time to reduce our outstanding indebtedness at a discount, subject to market conditions and availability. These factors resulted in $238 million of cash and cash equivalents on the balance sheet at quarter end, which was within the range of our expectations.  Additionally, it is important to understand that earnings from the UACC business have been used to paydown warehouse lines. We could draw against these lines as a source of liquidity. At the end of the second quarter, there was approximately $93 million of available liquidity at UACC. Which, when combined with our cash balance, resulting greater than $330 million of total available liquidity. We remain focused on capturing balance sheet opportunities to improve our available liquidity.  Next, let's turn to our full year cash and cash equivalents and liquidity outlook, on Slide 10. We expect the 2023 ending cash and cash equivalents balance of $137 million to $187 million, which is consistent with our previous guidance adjusted for convert repurchases of approximately $13 million that were completed in the first half of the year.  As mentioned previously, we expect to recover a significant portion of our cash in inventory balance as of June 30 2023, during the second half of the year. We expect this to occur as we continue to sell-through the aged units and replace them with fresh inventory. Additionally, we expect approximately $74 million of available liquidity at UACC at the end of the fourth quarter.  We continue to hold the residual certificates associated with our securitization completed earlier this year. If we decide to sell those certificates in the second half of the year, proceeds from the transaction could contribute up to an additional $25 million of liquidity. As a result, or yearend midpoint of liquidity could be up to $261 million.  Thank you for your time and attention this morning. With that, I'll turn it back to Tom, for a few closing remarks. Tom?
Tom Shortt: Thanks, Bob. Turning to Slide 11. I'm incredibly proud of what our team has accomplished this quarter. We continue to transform virtually every aspect of the business to improve our customer experience, improve our processes, drive operational efficiencies, reduce fixed and variable costs, decrease our cash burn rate and reduce our convertible debt. While we still have a lot of work to do, I believe we are well positioned to resume responsible growth and continue our business transformation as we execute our long-term roadmap and pursue our mid and long term goals.  Thank you for your time today and operator, we are ready for questions.
Operator: [Operator Instructions] Our first question comes from the line of Sharon Zackfia of William Blair.
Sharon Zackfia : Hi, good morning. Thanks for taking the call. I guess a question on responsible growth. I mean, there's, I'm sure that's the rate of growth that you feel like you can satisfy in a profitable manner. But you know, from the outside, it's kind of hard to understand what that might translate to in the back half of this year as we enter 2024. So if you give us any kind of context on the rate of growth that you think the company can support at this period, I think that would be helpful?
Tom Shortt: Yes, good morning, Sharon. We're very focused on figuring out the right balance, like our number one objective is cash burn as we work towards our long-term goal. And so, you know, we're not going to grow excessively, you know, we're at the risk of burning additional cash or hurting unit economics. So we're working through right now, what's the right level of market investment? What's the right unit growth rate and the right GPPU? And based on those three things, as we work through those and our cash burn, which is our primary driver that's going to yield growth. And that's why we're not providing really guidance on what our unit growth rate will be at this time.
Sharon Zackfia: Okay. And then can you give us some more color around the sales functions that you've brought in house and how the performance there is relative to your expectations, if there's anything else that kind of meaningfully still needs to happen to get to kind of a fully optimized sales function?
Tom Shortt: Yes. So we've been pleased with in sourcing our sales team from our primary third-party partner, earlier in the year. And I would say that it's met our expectations pretty much exactly as we expected. As we look to the longer term, we continue to make significant investments in our site to make it a more digital experience. And so that's really the main lever that we're going to see as we look towards the long run, as well as we do have several initiatives within our sales team, to provide them additional tools to be more efficient.
Sharon Zackfia: Thanks for that. 
Tom Shortt: I'd say it's basically on plan and as we expected.
Sharon Zackfia: Okay. And then is it fair to say that you plan to end the year with kind of minimal aged inventory? And that we won't be talking about this, hopefully, in 2024?
Tom Shortt: Yes. And just to comment on that, it's interesting, we've had this plan since the fourth quarter, and we're -- it's been kind of stunning to me, were remarkably unplanned each quarter as to where we thought we would be. And all of this aged inventory, essentially all of it as a result of our legacy titling issues. And in the future, to the extent we do have any inventory that's aged, it would all be math based, meaning we're running these very sophisticated pricing algorithms that have said based on market depreciation rates, and when we bought the car, it may make sense to hold the car longer, but I think it will be very deminimis and it would be embedded in and our pricing algorithm, so wouldn't be something to call out.  Having said that, I think we may have a very small amount at the end of the year, still related title and registrations. And I -- we haven't really calculated it for next year, but I think my guess would be pretty deminimis and after the fourth quarter, we probably will be talking about it. 
Sharon Zackfia: Great, thank you. 
Operator: [Operator Instructions] As there appear to be no further questions in queue, I would now like to turn the conference back to Tom shortt for closing remarks. Sir.
Tom Shortt: Thank you everyone for your time today and have a fantastic day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.